Operator: Gentlemen, today's conference will resume momentarily. Please hold. And we now have today's management on the call. Please go ahead.
Daniel Kontoh-Boateng: Good afternoon and thank you for participating in Evoke's Pharma's conference call today. With me today are Dave Gonyer, Evoke's Chief Executive Officer, Chris Quesenberry, Gimoti's Chief Commercial Officer from EVERSANA, and Matt D'Onofrio, Evoke's Chief Business Officer. By now, you should have a copy of the press release we issued earlier, if not it is available on the Investor Relations page of our website at evokepharma.com. We encourage everyone to read today's press release as well as Evoke's annual report on Form 10-K, which is now filed with the SEC. The company's 10-K report and press release are also available on Evoke's website. In addition, this conference call is being webcast through the company's website and will be archived for 30 days.  Please note that certain information discussed on the call today is covered under the Safe Harbor provisions of the Securities Litigations Reform Act. We caution listeners that during this call, management will be making forward-looking statements. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in Evoke's press releases and SEC filings, including its annual report, on Form 10-K, and previous filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast. Evoke undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. With that, I would now like to turn the call over to Dave Gonyer. Dave.
Dave Gonyer: Thank you, Daniel. And sorry for the delay with the teleconferencing company. We apologize that, but we do welcome you to Evoke Pharma's Fourth Quarter and fiscal year 2021 financial results, conference call. And I'm happy to report that by several key metrics, we showed very good progress in creating important value catalyst during 2021 especially in the fourth quarter. And thus far in 2022. Thankfully, the recent easing of COVID restrictions and society's early attempts to return to normalcy played a major role in fueling these value-enhancing indicators. Let's start with the concrete results that give us confidence. Our net prescription sales increased by 46% to approximately $360,000 in the fourth quarter of 2021 from $247,000 in the third quarter. Net prescription sales exclude sales to third-parties for research purposes. In addition, the number of GIMOTI new cumulative prescribers increased by 23% from September 30th to December 31, 2021 to 425 new healthcare providers or HCPs for short.  What's more at the end of February this year, that number has reached 499 cumulative prescribers. We're also seeing a positive trend of future indicators that point to potentially stronger sales results in 2022. These include a higher number of in-person meetings with healthcare professionals in many areas of the U.S. We expect these vital encounters with HCPs to increase throughout 2022, assuming COVID becomes endemic, and Omicron variant continues to recede. We believe the more face time with HCPs equals higher net prescription sales. Now, any new COVID variant in the future could reverse this trend, but with what we know now, we're very optimistic. Another future indicator that judicious increase in GIMOTI samples distributed to healthcare providers are converting to higher prescription sales. Sampled are most effective and allowing for patients and physicians to experience the experience when sales professionals can remind HCPs of its availability face to face.  This has been seen with higher prescriptions per physician with samples over those without a sample. And this was confirmed at our second national sales meeting held last month, which provided us with valuable insights on the positive trends we're seeing in the field. Now, today's call will highlight the progress we've seen in making GIMOTI more widely accessible to patients and physicians through new and updated initiatives, as well as the corporate initiatives we are executing to support our commercial business through 2022. Recently we reached key validation milestones on both the awareness and adoption of GIMOTI in addition to mapping out the company's long-term strategic goals, specifically the extension of our strategic collaboration with EVERSANA to commercialize and distributed GIMOTI within the U.S. Moreover, other key accomplishments and activity over the past year include the follow-on offering we completed in January 2021, and the strengthening of our intellectual property estate.  A clear affirmation of GIMOTI potential in the Gastroparesis market with the extension of our commercialization partnership with EVERSANA, which we announced last month. Under the extended agreement, Evoke and EVERSANA will continue to collaborate on the commercialization and distribution of GIMOTI in the U.S. to the end of 2026. As a review, the original agreement signed in January 2020 specified that evoke would retain ownership of the GIMOTI new drug application, as well as legal, regulatory, and manufacturing responsibilities. The agreement calls for EVERSANA to utilize its internal sales organization and other commercial functions for market access, marketing, distribution, and other patient support services. We record sales for Gimoti and Evoke retains more than 80% of the net product profits once each party's costs are reimbursed. The amended agreement extension increased as a percentage of the net profit retained by Evoke and accelerates the reimbursement of commercialization costs EVERSANA after the product breaks even on a monthly basis. The initial turn provided in the original agreement was five-years following FDA approval, which would have been June 2025.  This amendment will extend the term of the agreement by more than 18 months through December 31, 2026. This amendment was sought after by EVERSANA and we interpret it as showing continued belief in the opportunity for Gimoti and our partnership. Regarding the market opportunity for Gimoti, know that independent market research data claims that potential diabetic gastroparesis or DGP, patient pool in the U.S. is approximately 12 to 16 million adults with about 2.6 million with diagnosed DGP. A significant portion of those seeking treatment is prescribed metoclopramide administered orally or by IV. Currently we estimate approximately 3 million prescriptions of metoclopramide, are dispensed annually in the U.S. which makes up only a portion of the total adjustable market. We firmly believe that the non-oral delivery is a critical differentiator in treating patients with the disease that can block or make absorption of oral medications unpredictable.  We are confident that this -- we are confident that this extended partnership with EVERSANA will ensure that GIMOTI will reach patients more efficiently and ultimately revolutionize the Gastroparesis treatment landscape. Our confidence in the value and life-changing benefits from GIMOTI is shared by a prominent gastroenterologist and founding member of Carolina Digestive Health Associates in Charlotte, North Carolina. Dr. Fred Fowler recently said that DGP can be difficult to treat because of the disease itself can limit effectiveness of oral treatments. Orally administered medications can be blocked by the faulty stomach or vomited due to the symptoms often experienced by these patients. Having a non-oral alternative like GIMOTI allows rapid delivery of a medication that bypasses the stomach to lessen the symptoms such as abdominal pain, nausea, and vomiting.  Also, new market research makes the case for broader acceptance of GIMOTI among HCPs. Most importantly, patients described remarkable benefits after initiating GIMOTI therapy. Our conclusion from this data, we believe in the long-term opportunity for GIMOTI and are excited to continue leveraging the expertise of EVERSANA's ever-growing 7500-person corporate organization for GIMOTI, especially given their financial strength and commercialization know-how with life science products like GIMOTI. Another piece of good news that came recently was our success rate with government program access initiatives, specifically, expanded Medicaid coverage. GIMOTI was recently added to the New York State Medicaid program.  And as New York is a bellwether for state Medicaid programs, we are encouraged by their decision to cover GIMOTI. And it's a testimony to our our account teams who are working hard to educate payers on the burden of DGP and why treatments, especially ones like GIMOTI, are needed. We and our EVERSANA partners are continuing to introduce the benefits of GIMOTI to various public and private insurers, with the belief that more positive coverage decisions will be forthcoming. With the increased access to GIMOTI, it's important to call out our supplementary patient support and savings programs, Evoke Assist. Once enrolled, the Evoke Assist Program connects patients with the team of professionals, including nurses, to verify insurance coverage through the proper channels, confirmed pharmacy orders, and provide co-pay assistance based upon eligibility.  There's one thing we know for sure, there's an eminent need for an alternative and effective solution to Gastroparesis treatment and will exhaust all viable options to make sure GIMOTI reaches eligible patients. Another very notable aspect of our business is the important intellectual property protection we've built around GIMOTI. Last June, we announced that another patent covering methods of views for nasal delivery of metoclopramide for the treatment of gastroparesis was listed in FDA'S Orange Book publication, and carry the patent turn to at least 2029. Patents listed in the orange Book cover drugs that FDA has approved and deemed both safe and effective. Also, inclusion into the books listed patents can make it easier for us to monitor new generic drugs that could potentially arrive in the US market and infringe on our patents.  This news was exciting for us as we continue to protect our technology for GIMOTI 's unique method of use. It also enhances our mission to improve the quality of life for patients suffering from DGP. Turning now to marketing initiatives. In June 2021, we announced the launch of the first wave of social media campaign to reach patients directly with education about DGP. This initial wave began with two Facebook pages, a GIMOTI -branded page, and a Diabetic Gastroparesis page called DGP and Me: Diabetic Gastroparesis Support. DGP and Me is a community-dedicated offerings, support, education, and advice to millions in the U.S who suffer from the symptoms of gastroparesis. The DGP and Me, Facebook page allows community members to connect and find more information about managing DGP.  The GIMOTI Facebook page supports increasing awareness of GIMOTI as a persuasive nasal delivery option for patients seeking relief of their acute and recurrent diabetic gastroparesis symptoms. Especially in cases where oral therapies may not be effective. And happily, we have received numerous encouraging testimonials from patients and their families expressing their gratitude for life-changing solution like GIMOTI, we have heard about the symptomatic relief patients are experiencing by taking GIMOTI, which is enabling patients to resume normal daily activities that each of us likely take for granted, such as simply just eating a solid meal. These heartfelt messages inspire our team in their daily efforts to ensure we do our part to help ease the pain of patients and their families burdened by this disease.  Patients suffer symptoms an average of five years before they have a confirmatory diagnosis of gastroparesis. During this time, they seek answers to the cause of their symptoms, even even post-diagnosis patients can receive very little education support -- educational support for the medical community about the disease, and available treatments and the strategies to manage their symptoms. People suffering from DGP often resort to searching online for answers and evoke intends to play a role in helping bring more information and assistance to these patients in need, with our digital campaigns, I described earlier. In the process we hope to help raise awareness of the disease and its burden on patients as well as our novel nasal delivery treatment option that may offer a benefit case were oral medications are ineffective.  Our physician experience program through sampling has been a vital opportunity to provide GIMOTI directly to physicians who haven't prescribed GIMOTI. It's also increasing trial among patients with DGP who seek an alternative approach to traditional oral medications. Gastroenterologists briefly tell us they have moderate to high level of concern about their patient's ability to absorb oral medications and estimate that 21% to 60% of their patients with DGP may experienced this difficulty. And in addition, about 2/3's of these patients have some difficulty in adjusting oral medications. We believe that our experience program will widen the network of physicians and patients familiar with GIMOTI and help ensure those who suffer from DGP have access to our novel treatment. We have worked diligently on our strategic messaging for GIMOTI and excitingly, last September Evoke and EVERSANA's Engage, which is EVERSANA's marketing team, were core silver award winners for GIMOTI sales aid through influential publication PM 360. PM 360 is the premier publication for marketing decision-makers in the pharmaceutical, biotech, and medical device industries.  And our team took the podium to accept this award. The awards cited our Spray Away Campaign and was in recognition for the creative execution of the overall campaign and clarity of our message emphasizing the novel spray component of Gimoti 's unique DGP treatment. This campaign reflects the insights gained from market research and patients post on social media and details symptom of DGP and chronicle the difficulties in taking oral medication. We look forward to continuing the promotional growth of Gimoti through our value partnership with EVERSANA and their talented engaged team. In keeping our stakeholders and broader financial community bras with our commercial progress, we added supplementary investor communications events starting with our fireside chat with key opinion leaders on the treatment of gastroparesis last April and hosted in conjunction with one of our covering analysts.  We're joined by Dr. Richard Macallan at the division of Gastroenterology Center for Neurogastroenterology and GI Motility at Texas Tech University Health Science Center. The event included an investor Q&A session with Dr. Macallan. We have a similar event slated for next week on March 16th with another one of our key opinion leaders. Now the competitive landscape front, there continues to be nothing new coming to the market in the near-term and leaves the gastroparesis marketplace wide open for Gimoti. Recently, Vanda Pharmaceuticals announced that their investigational gastroparesis product, which was targeting to treat nausea only failed to meet statistically significant in a Phase 3 trial. While not a good day for patients as they need options, it underscores the difficulty in high hurdle to bring a new gastroparesis therapy to market. And ultimately, it reinforces the achievements of GIMOTI and represents the preserves near and longer-term value for the brand.  And lastly, we also made important changes to our Board of Directors in 2021. In May, we announced the appointment of Vicki Read to the Board in retirement of Ann Rhoads, who ably served on our board for more than eight years. With her breadth of extensive financial experience, Ms. Read chairs our Board's audit committee. Vicki Read also already has also contributed significantly to our board and offered valuable insights to management. We believe her wealth of leadership experience and financial knowledge in the biotechnology industry will help people maximize corporate financial performance in 2022 and beyond. And with that, I'd like to turn the call over to Chris Quesenberry. Chris.
Chris Quesenberry: Thanks, Dave. Before I delve into the progress, we made in commercializing GIMOTI during the fourth quarter and last fiscal year. As a strategic partner, I want to offer my and EVERSANA's view on the promise we see in GIMOTI and Evoke's business objectives in 2022 and beyond that, Dave just outlined. I and EVERSANA see tremendous value and potential that GIMOTI provide for patients who suffer from diabetic gastroparesis. There is a significant unmet need for improved symptomatic relief for these patients. And plainly speaking, GIMOTI works. We're gaining increased experience in feedback from physicians on how GIMOTI is a welcome addition to their treatment Augmentarium, and their patients are providing testimonials to the impact treatment which GIMOTI is having on them. EVERSANA alongside Evoke remains committed to our vision that GIMOTI become the preferred treatment to improve a symptom of patient struggling with diabetic gastroparesis. We intend through the commercialization of GIMOTI to offer these patients some hope and help them regain control over this disease, which has robbed them and their families of so much.  We have made steady commercial progress despite headwinds over the past 16 months, and I would say we're poised to make significant progress in 2022. In order to realize our vision for patients, which is tied to our commercial success of GIMOTI, we are focused on four strategic imperatives. We must first raise awareness of GIMOTI and motivate patients to advocate for better diabetic gastroparesis treatment, position GIMOTI to healthcare practitioners as the best option to treat diabetic gastroparesis due to its unique nasal delivery and continue to have them [Indiscernible], and adoption. We need to educate payers about gastroparesis and GIMOTI and help them realize that it's in everyone's interest to simplify the approval process. And we need to improve conversion and the fulfillment process for patients and the care team.  During today's call, I will share the advances we are making in each of these areas, and then turn my focus to what is currently in the works you can expect from us this year. Overall, awareness of GIMOTI among patients is increasing and still, there's significant opportunity to improve. As Dave mentioned, we have a robust online paid search and social digital presence. Since launch, we have garnered over 22 million impressions, which are driving significant click-through rates and these are at rates more than double the industry average. Those click-through rates represent engagement and interest in the brand. In addition, our engagement level is showing great improvement over the year specifically paid search, which again in the fourth quarter was more than double the industry average. We expect to sustain and improve on this with increasing the number of patient testimonials and making our websites even more transactional than they are today.  One such video testimonial that we have added is from an actual patient named Tammy who is a former nurse and a patient with diabetic gastroparesis. She recounts her experience on GIMOTI and how the spray worked, and how they were able to do something that they hadn't been able to do in a while, go out to dinner, sit down, and eat. I encourage you to watch this video and others on our GIMOTI homepage by visiting www. gimoti RX.com. Our ultimate goal is to see more organic mentions of GIMOTI by providers and patients online and patients requesting GIMOTI from their HCPs. With that our promotion to HCP is also paying dividends. We have achieved a cumulative reach of nearly 70% of our target HCPs despite continued challenges to access. When we have the opportunity to discuss GIMOTI with physicians, it takes fewer than five details to prompt them to prescribe GIMOTI for the first time.  Cumulatively through December of 2021, 746 HCPs prescribed GIMOTI at least once and nearly half of our prescriptions overall came from HCPs who had written 5 or more prescriptions for GIMOTI. Through the end of February, the number of cumulative prescribers is 941. These actual results, mirror our market research with targeted and non-targeted healthcare providers, which shows high and increasing awareness of GIMOTI among -- more than 80%. Additionally, 88% of the 135 providers surveyed indicated that they intend to prescribe in the future. As you might expect, targeted customers have a higher intent to prescribe as evidenced by 92% of the targeted GIs said they would prescribe, 92% of non-targeted GIs said they will prescribe, and 80% of PCPs and 89% of nurse practitioners and physicians assistance, indicated that they would prescribe. When we dive deeper into the prescribing Haber behavior, we see an increase in prescribing across all lines of therapy.  The majority of utilization for GIMOTI among these physicians is in the third line position, likely after an antiemetic and oral metoclopramide. Since the last wave of research, we have seen an increase in utilization by 33% in the third line position. Utilization in the third line is consistent with what we expected at launch as the majority of patients have tried multiple therapies since being diagnosed. What we are pleased to see is the incremental improvements in second and even first-line utilization. Among targeted GIs, their state of utilization of GIMOTI is 6% at first-line, 19% as second-line and 33% as third line. All improvements over prior waves of research. In practice, we see this too with Dr. Viplove Senadhi from Montgomery, Alabama, indicating that GIMOTI is becoming his first-line agent for diabetic gastroparesis. When we ask HCPs, which formulation of metoclopramide was most effective? All HCP groups stated that oral was the least effective and placed the nasal route of administration on par with IV metoclopramide. But this impression of efficacy, the stated awareness and intent to prescribe, and only 14% of our current targets having prescribed, we see tremendous upside potential and intend to capitalize on this. Beyond the numbers, we are pleased to see the increasing preference for GIMOTI 's naval nasal route of administration compared with traditional oral treatments. We continue to hear from patients and HCPs about the benefits of GIMOTI I, and we are using this feedback to strengthen our marketing efforts and adding to our testimonials. From the fourth quarter, we launched our national account team to engage insurers and payers.  Throughout 2021, we gained significant clarity around how payers were viewing GIMOTI. Our primary goal with payers in the near-term is to educate them on gastroparesis and GIMOTI, and help them realize it's in everyone's interest to simplify the approval process for GIMOTI. Patients with diabetic gastroparesis desperately need it. Players are causing ER visits and hospitalizations resulting in consuming an inordinate amount of healthcare resources and dollars, and providers lack FDA approved options to provide moderate to severe patients release. Payers have not had conversations about gastroparesis in decades and are open to having these discussions. That said, they're obvious focus is on prescription drug spend. In spite of this, our NAMs are having hundreds of engagements across payors and across each of their value chains with pharmacy, with their medical teams, with their commercial teams, and others. These conversations are beginning to uncover the gap in understanding among payors, and also what they might need to support reducing restrictions and prior authorizations. We expected payors to make a step through oral metoclopramide before approving GIMOTI. We're finding a number of payors are currently requesting additional requirements like clinical notes to affirm the -- to the approval process. Our goal is for the payor to ease the approval to simple alignment with our label indication. This would ease access for patients and reduce workload for providers. We are seeing the engagement finance starting to bear fruit. Two recent examples over the last two quarters were the decision by two state Medicaid programs, Michigan and New York, to cover GIMOTI.  Not only is this consistent with our goal, but with New York being a bellwether state, it encourages us that we can replicate this outcome with other payors, including government programs. Currently, we have had at least 88 plans approve at least one prescription for GIMOTI. l should add that is without a single contract in place. Of course, those prescriptions filled nearly 80% of our prescriptions are covered by insurance with the remaining being supported by our cash pay savings program or patient assistance program. I'm encouraged that our net realized price continues to improve from quarter-to-quarter. In fact, fourth quarter net realized price was nearly 5% improvement over full-year.  There are a couple of positive trends to see here. 1. We have more cover prescriptions. 2. We are improving our approval rates for prior authorizations, as well as winning higher percentage of our appeals. And 3. Our refill rates are improving. As indicated before, refill rates are an important indicator for us and a leading indicator of efficacy and persistency on therapy. Refill rates in the fourth quarter were 71% overall versus 63% in the third quarter. With improvements seen in most refills from the second fill to the six-refill compared to full-year rates. Overall, we made steady progress commercially in 2021 with each quarter improving and leading and lagging performance metrics versus the last. We are gaining momentum and looking towards a strong 2022. Some top line initiatives you can expect from Evoke in support GIMOTI in 2022 include; piloting a new electronic medical record distribution program that is more automated and within the workflow of HCPs.  We have initiated this pilot at the end of January, in six of our most productive territories. Initial signs are very encouraging with a meaningful uptick in prescriptions, higher percent of prior authorization approvals, and therefore, more patients receiving dispense product. This pilot is planned to run through April, and if we hit our metrics, we will expand to all geographies. Positioned reception has been very favorable also on the program to date. We intend to increase our peer-to-peer speaker programs. We're expanding this program based on the success we had in the fourth quarter. A significant subset of HCPs learned from their peers. And our content and actual pace patient cases that we presented through our speakers are proving to be compelling. We will likely ramp up our speaker programs towards the end of this quarter and being full deployment in the second. Key opinion leader engagement and Congress activities will increase significantly, also with more exhibiting planned programming and scientific discourse. In the fourth quarter Evoke participated in the ACG, which was a significant success in one of our first and likely most important congresses of the year.  This year, our most important congress will be at Digestive Disease week in May. This program will be in San Diego and we plan to have a significant presence. Data generation will also be a key activity for us this year, we will prioritize publication of past clinical studies and look to generate new evidence to support GIMOTI using closed claim database studies or physician experience to provide insight into how GIMOTI may offset healthcare utilization and improve disease management. We will also focus on supporting the safety position of metoclopramide and GIMOTI for appropriate patients. We have uncovered there is still significant hesitancy with metoclopramide use. leveraging the Truven Health markets can database we were able to examine the association between Tardive Dyskinesia and the risk factors such as age, sex, underlying medical diagnosis and exposure to drugs, including metoclopramide.  These data were submitted to Digestive Disease Week or DDW and accepted as Poster with distinction and award provided to only the top 10% of submissions. We look forward to updating the medical literature on the risk of Tardive Dyskinesia and educate and providers on important risk factors to avoid when utilizing GIMOTI. We also plan to expand our digital presence and effectiveness, although we're proud of our initial progress, we believe that there is untapped potential to reach and activate patients with a recent 1 billion acquisition of In Touch agency by EVERSANA. We look forward to to accessing their insights and capabilities to further our goal. In addition, we will continue our sampling program, as Dave mentioned, is increasing patient trial for GIMOTI. In addition, we are seeing increased access and detail activities to those HCPs that we have detailed and sampled versus those that we have only detailed. Our data also indicate that HCPs who have been provided a sample are nine times more likely to prescribe GIMOTI. We will continue to refine our messaging and creative campaign to account for the insight we are learning.  Just two weeks ago, we had a very successful national sales meeting where we debut new and focused message on GIMOTI 's differentiation from morals, efficacy, and safety for GIMOTI. The field is trained, highly motivated, and currently leveraging the training with customers to strong effect. Lastly, we're exploring alternate channels to reach patients and provide them with access to consider whether the GIMOTI is appropriate for them. So many patients are dissatisfied with our current treatment and therapies, they are searching for answers and solutions including looking online, and we believe these patients are ready to make a change and could benefit from a product like GIMOTI. We have already initiated the planning and started acting on some of these initiatives. I'm very pleased to report that this last month, February was our strongest month for both prescriptions and dispenses by over 25% versus January, our last best month. With that, I will end by restating, we continue to be encouraged by our progress, we're excited about our plans and focus for 2022 and believe they will lead to accelerated adoption of patients on GIMOTI and commercial success. I'll now turn the call over to Matt for the financials and other updates.
Matt D'Onofrio: Thanks, Chris. Once again, thank you all for joining us afternoon. I'll jump straight to the financials for the fourth quarter and full year end 2021 results. As Dave mentioned, for the fourth quarter of 2021, net sales were approximately 261,000, the net loss was approximately 2.1 million or $0.05 per share compared with 23,000, and the net loss of approximately 2.3 million or $0.09 per share for 2020. For fiscal year ended December 31 2021, net sales were approximately 1.6 million of which approximately 718, 000 consisted of GIMOTI sales to third-parties for research purposes. The net loss was approximately 8.5 million or $0.27 per share compared with the net Loss of approximately 13.2 million or $0.52 per share in the year prior. Research and development expenses totaled 36,000 for the fourth quarter of 2021 compared with 0.1 million for the fourth quarter of 2020. Full-year of 2021, R&D expenses were approximately 0.6 million compared with 6.6 million for the prior year.  Since FDA approval of GIMOTI in June of 2020, research and development costs have decreased and shifted to commercialization and selling costs. The fourth quarter 2021, selling general administrative expenses were approximately 1.7 million compared with 2 million quarter of 2020. For the year ended December 31 2020, SG&A expenses were approximately $8.9 million compared with $6.4 million for the full-year 2020. Selling, general and administrative expenses consisted primarily of salaries and related benefits, including stock-based compensation. We expect that SG&A expenses will increase in the future as we continue to progress with the commercialization of GIMOTI and reimburse EVERSANA from the net profits attained from the sales of GIMOTI.  Total operating expenses for the fourth quarter of 2021 were approximately $1.9 million compared with $2.2 million for the same period of 2020. For the year ended December 31 2021. total operating expenses were approximately $9.8 million compared with $13.1 million for the full year of 2020. As of December 31, 2021, the company's cash and cash equivalents were approximately $9.1 million, we believe based on our current operating plan that our existing cash and cash equivalents, as well as future cash flows from net sales of GIMOTI will be sufficient to fund our operations into the first quarter of 2023. And with that, we'll now open up for both the call for questions, operator.
Operator: Your first question is from Yale Jen, with Laidlaw.
Yale Jen: Hello and good afternoon, and thanks for taking the questions and congrats on the progress so far. My first question is that in terms of the sampling seems to be effective but first of all, what level of expansion will continue going forward and secondly what's the metrics to gauging the success of the sampling at this point?
Matt D'Onofrio: Hi, thanks Yale. I'm going to turn the call over to Chris. It's a good one, we appreciate that. So, Chris?
Chris Quesenberry: Yes, l think we need to see growing prescriptions on that will help us to understand. So, we're looking at a number of different metrics. Physician uptake, growing, expansion of HCPs, prescribing. So, we're looking at those numbers now, we're doing an analysis and we know where we would look to expand, should the opportunity arise.
Dave Gonyer: Initially, we've targeted physicians you have not prescribed GIMOTI at all. So, we didn't want to flood the marketplace overall with samples. As Chris said, we've filed with the physicians that have been sampled versus those who have not, we've definitely seen an increase in prescribing from those positions.
Yale Jen: Okay. That's very, very helpful. And the second one, the housekeeping question, that fourth quarter G&A numbers seems lower than the previous quarter, should we consider that to be a trend in 2022 or that is the one-time situation?
Matt D'Onofrio: Yale, this is Matt, good question. No, I just think in general, we've been very frugal, as much as we possibly can wherever we can over the course of the license leg of the company. We did have a little bit lighter last quarter, but we would consider not being continuous, shall we say? I think somewhere in that prior range is probably more appropriate.
Yale Jen: Looks great. And maybe the last question here, before I get back to you, which is that then the trial unfortunately. But overall, what do you see the current competitive lands, Dave, particularly in terms of gastroparesis, developing the pipeline, and how much could a leeway you guys may have, even if some of those development come to a fruition?
Matt D'Onofrio: Unfortunately for patients, there's nothing in the near term that we're aware of. The failed Vanda trial was -- when they were looking just at nausea relief for gastroparesis and they were still not able to reach that milestone of a statistical significance. And so that was the most near-term product. Everything else that seems to be in development hasn't even started Phase 3 trials yet. So, we're looking at a pretty wide-open path going forward without competition. It's bad for patients -- it would have been nice to have more people talking about the product as well, gets them more discussions for gastroparesis out there. But just like I said earlier, it does help our runway going forward with no competition. So, like I said, unfortunately for patients, but nothing is really coming.
Dave Gonyer: Maybe just a couple more comments to that -- we start trial -- our efficacy trials. There were a couple of years or longer each and it's not because there not a lot of patients out there just because they are so frail and on so many different medications, it's difficult to find patients that want to offer to go off of their current medications, get sick, and then go on to either active or placebo. So, it's just very unfortunate sick patient that you're trying to help.
Yale Jen: Okay, Great that's very helpful get back to the queue right now. Thanks.
Dave Gonyer: Thanks, Joe.
Operator: Your next question is from Mitchell Kapoor of Wainwright.
Mitchell Kapoor: Hi there. Thanks for taking the questions. First one is I was wondering if you could talk about the retail rates for the quarter, the trends in the number of refills the average patient might be having, and how that matches up with your expectations?
Chris Quesenberry: So, thank you, Mitchell. This is Chris. I appreciate the question. We're actually looking at that pretty closely, and the average number of fills that a patient is having is increasing as well. So, in prior quarters, we were at 2.5 or around 2.5 months of therapy per patient and we're now just over three over the course of the subsequent quarter. So, we see this increasing. By increasing the number of months on therapy, that's an indicator that the product -- the patients are staying on product and the product is working for them. Right now, we expect over the course of this year to continue to see that month on therapy expand. We have a lot of patients that have recently come on, so they only have their initial course of therapy and we have many patients that are on 2 and 3 months, but there's a long tail. So, there's a lot of patients that have been on 4, 5, 6, out to 12 months of therapy on GIMOTI. So, as we continue to gain experience, as patients tend to or continue to try GIMOTI, we expect this number to increase.
Mitchell Kapoor: Okay, great. And then I was wondering if you could elaborate on what you think the implications of the DDW presentation on rethinking Tardive Dyskinesia might be? And then if you could just talk about how this message will ultimately get to the physician.
Dave Gonyer: That's a great question. We're excited about the EVERSANA's teams able to obtain through some significant analysis and then to be accepted by DDW as a poster for distinction is a nice honor as well. Tardive Dyskinesia has always been associated and discussed with metoclopramide and it prevents some physicians from prescribing the product. They're taught in medical school, hey be cautious of metoclopramide because of Tardive. And the literature has stated in the past that anywhere between 10% of patients may experience Tardive. But what the real-world data is, has shown here is that far less. And so, we think a message of continuing to show the safety of the product and how the safety of the product is such an important piece of it, for physicians and for patients, we think it will ring very loudly with prescribing physicians and patients.  So once those data are published through the initial poster at DDW, when we expect that this likely will be a presentation there as well. We also are currently developing a manuscript that we're going to be submitting to prominent gastroenterology journal. And so we have four of our gastroenterology key opinion leaders that are working on this with us, that are from very noted institutions across the U.S. and luminaries within gastroparesis, as well as a prominent neurologist who is a movement disorder specialists And so we believe that the data being published at DDW being published in the Journal, as well as leveraging the Kay Wells will allow us to first to get the information out into the public and into the medical literature to update the team. And given the fact that there's not much discussion around our New around gastroparesis. This is definitely going to be new information. And I expect that gastroenterologists themselves will pick the thickness up and incorporating their own presentations depending upon how those goes. We also have an opportunity to potentially promote these data.  Assuming that we can kind of work through our internal processes to do so. So, it gives us a great opportunity to update the medical literature. And in addition, just providing context on the true rates of Tardive Dyskinesia and the largest search database in the U.S., it gives us an opportunity to help providers to understand which patients to avoid. So, we're not only are we going to be updating the medical literature, but we're actually going to be doing good by helping providers to understand, which patients and which situations they shouldn't be prescribing metoclopramide to. And I think, that will actually acquire tremendous value for us, as a company and a brand.
Mitchell Kapoor: Great, thank you very much for the detailed answer.
Operator: The next question is a follow-up from Yale Jen of Laidlaw.
Mitchell Kapoor: Okay, thanks a lot and appreciate the take the follow-up. Just a two quick one. The first one is, that the -- do you have hope that Michigan and New York state got the Medicaid or just New York state?
Dave Gonyer: So, it's both Michigan and New York. There are other states also that are proving prescriptions for GIMOTI, so those are just two recent ones. So, we have prescription have gone through Connecticut, New York, New Jersey. We have gone -- some of that had gone through Florida and even in California. So those are just two of the more recent ones, but the approval in those two states is important for us.
Yale Jen: Okay. And maybe just two quickly follow-up. One is that in terms of the Medicare, what type of effort at this point you have to pursue that, and any color on that?
Dave Gonyer: Yes. So, Medicare obviously is an important pickup patient population for us. What I would say is about 25% of our prescriptions that are currently covered are through Medicare, so we are seeing prescriptions that are going through and being covered by Medicare. Again, first point that's without any supplemental rebates or contracts to those ensures that they have those Medicare plans. The second thing is our national account team is having conversations with the insurers and payers that do provide Medicare part D insurance to patients. And so those discussions are ongoing and hopefully, what we'll do is replicate what we're seeing in Medicare in states like New York and Michigan. And just just a quick point on the kind of coverage in New York as an example. It is actually with very limited restrictions, and to our label indication, which is kind of what our stated goal is. So again, what we're doing is hopeful that our education of payers and underscoring the plight that these patients have and bringing to life the cost that these patients represent to these plans will help them to see that this is a necessary treatment.
Yale Jen: Okay, great, and thanks for taking the question and congrats.
Dave Gonyer: Thanks, Yale.
Operator: There are no further questions. I'll turn the call back over to Mr. Gonyer for closing remarks.
Dave Gonyer: Great. Thank you. I just wanted to reiterate what I said at the start of the call. And we believe we're beginning to see tangible value enhancing benefits of our business strategy overall. And specifically, the value of GIMOTI for those who suffer from gastroparesis. Although these are early indicators, it's gratifying to report what we see as numerous data points and market conditions that could signal longer-term success for Evoke and our shareholders. And so, we look forward to continuing to provide updates with our overall progress in what we and EVERSANA are observing in the marketplace. Thank you very much.
Operator: That does conclude today's conference. You may now disconnect.